Operator: Good day, ladies and gentlemen, and thank you for standing by. Welcome to GEN Restaurant Group, Inc.'s Second Quarter of 2023 Earnings Conference Call. [Operator Instructions] Please note that this conference is being recorded today, August 14, 2023. I would now like to turn the conference over to Tom Croal, the company's Chief Financial Officer. Please go ahead. 
Thomas Croal: Thank you, operator, and good afternoon. By now, everyone should have access to our second quarter 2023 earnings release. If not, it can be found at www.genkoreanbbq.com, in the Investor Relations section.
 Before we begin our formal remarks, I need to remind everyone that our discussion today will include forward-looking statements within the meaning of federal securities laws, including, but not limited to, statements regarding growth plans and potential new store openings as well as those types of statements identified in our quarterly report on Form 10-Q for the second quarter of 2023 and our subsequent reports filed with the SEC. These forward-looking statements are not guarantees of future performance, and therefore, you should not put undue reliance on them.
 These statements represent our views only as of the date of this call. and are also subject to numerous risks and uncertainties that could cause actual results to differ materially from what we currently expect. We refer you to our recent SEC filings, including our registration on Form S-1 for a more detailed discussion of the risks that can impact our future operating results and financial condition. Except as required by law, we undertake no obligation to update or revise these forward-looking statements in light of new information or future events. We have just filed our quarterly report on Form 10-Q for the second quarter of 2023 today and would encourage you to review that document at your earliest convenience. During today's call, we will discuss some non-GAAP financial measures, which we believe can be useful in evaluating our performance. The presentation of this additional information should not be considered in isolation or as a substitute for results prepared in accordance with GAAP.
 Reconciliations of the non-GAAP financial measures to the most directly comparable GAAP financial measures are available in our earnings press release and our SEC filings, which are available in the Investor Relations section of our website. Now I would like to turn it over to our Board Chair and Co-CEO, David Kim. 
Wook Kim: Thank you, Tom, and good afternoon, everybody. It's great to be speaking with all of you on our first earnings call as a public company. First and foremost, I'd like to thank our team at GEN for believing in our vision and being instrumental to the success that we have seen over the past 12 years. On June 28, we proudly listed on the Nasdaq global market, and it is my privilege to provide an update on our progress as a public company. For those of you who may be new, the story of GEN Korean BBQ, we are a full service sit-down, not a buffet, casual dining restaurant concept, serving a variety of proteins, including steak, pork, chicken, seafood and salad across both lunch and dinner, all at an affordable, all-inclusive price.
 Unlike other restaurant concepts, our GEN Korean BBQ experience provides our guests with an efficient, cook-it-yourself at each table model. This eliminates majority of cooks at our restaurants, enabling us to keep our prices low and allows us to provide the best value proposition to our guests. Moreover, our smaller kitchen footprint also provides us with additional space for tables, allowing more guests to enjoy our dining experience.
 Since our large selection of menu items come ready-to-serve from our suppliers and vendors, we're able to fulfill our guests' need in a faster and more efficient manner. This approach ensures our guests that they are receiving the finest food with consistent quality while also enabling our team to efficiently service our high-traffic restaurants. As we have embarked on being a public company, we realized what a small percentage of the population truly understand our concept, including landlords. In each new market we enter, we're educating our guests and landlords on how our business operates. And we view this as a competitive advantage, which provides significant upside as Americans across the country are introduced to our concept, the Korean BBQ way of dine.
 Because it is such a wide open market, we believe we have the long-term capacity to serve our local guests in over 250 restaurants throughout the United States. With that background, let me dive into our expansion plans. At GEN, our plan is simple, yet remains consistent. We currently have 34 restaurants in the following markets: Northern and Southern California, Texas, Nevada, Arizona, Hawaii, New York and most recently, Florida. We are especially excited to enter the 2 new markets of Florida and New York this year and believe both have substantial opportunities ahead. We remain confident in opening 6 to 7 restaurants this year, as we previously disclosed.
 The first part of our expansion plan is to continue to build additional units in the states that we've been proven successful, like the states I just mentioned. We have leases signed for additional units in the states of Florida, Hawaii, Texas and Washington. So far this year, we have already opened 3 restaurants in 2023 in California, Arizona and Florida. We have 4 additional restaurants under construction with 3 in Texas and 1 in Hawaii. And another 2 restaurants expected to begin construction within 60 days, 1 in Florida and 1 in Washington.
 The second part of our expansion plan is to test our concept in additional states. Once we've proven our concept, we will build out the market further, additional markets that we are negotiating leases are Colorado, Massachusetts, New Jersey, Oklahoma, Oregon, Utah and Washington, D.C. We are excited about our future and look forward to bringing GEN Korean BBQ into many new geographies to share are diverse and flavorable food around the United States. 
 At GEN, our guest experience is who we are, and we will ensure that we protect and enhance that dining experience while maintaining an excellent value for our guests. Accordingly, we have recently signed a new distribution contract with Cisco, which will ensure availability of our products and competitive pricing as we continue our national expansion across all 50 states. This contract will be implemented over the next 60 to 90 days.
 In closing, let me reiterate that we are confident in our long-term trajectory over the next 10 to 20 years. We have a detailed plan for the next 5 years as we develop new restaurants across the U.S. Our team at GEN Korean BBQ has already demonstrated our ability to succeed through many different economic environments and regions in the United States, and we believe we can succeed even under poor economic conditions or through the headwinds of a recession. We are thrilled to embark on this new chapter as a public company, ensure our story and unique dining experience for many years to come. With that, I would now like to turn the call over to our CFO, Tom Croal, to discuss our second quarter results. 
Thomas Croal: Thank you, David. Before I get to the quarterly results, let me quickly touch on our recent IPO. On June 30, 2023, we completed the initial public offering of our Class A common stock at a public offering price of $12 per share. We issued 4,140,000 shares, including 540,000 shares sold to our underwriters as part of the overallotment option. After underwriter discounts and commissions, we realized the net proceeds of approximately $46.2 million. We will use the majority of these proceeds for working capital to fund new unit growth and for other general corporate purposes. Additionally, in connection with our IPO, in July, we granted 1,250,000 restricted shares under our 2023 equity incentive plan, which allows us to attract and retain the best available personnel and to motivate participants to optimize the profitability and growth of the company through incentives that are consistent with our goals and that link personal interests of participants to those of our stockholders.
 These awards are primarily designed to vest over 5 years, aligning our team members to think in a long-term sustainable way. The response from our employees has been tremendous, and everyone is extremely motivated. With that, let's review our quarterly results.
 For the second quarter ended June 30, 2023, revenues increased 10.1% to $46.5 million compared to $42.2 million in the second quarter of 2022. This increase driven by new unit openings and a 1.4% increase in comparable restaurant sales. Turning to expenses. Cost of goods sold as a percentage of company restaurant sales decreased by 160 basis points year-over-year to 31.8%, primarily due to more favorable year-over-year commodity pricing and ongoing negotiations with our vendors.
 Payroll and benefits as a percentage of company restaurant sales increased by 200 basis points year-over-year to 30.8% due to increases in minimum wage rates in certain markets in which we operate, short-term high labor costs in our newly opened restaurants as we train staff and management and increases in managers and training in preparation for our ramp-up in new restaurant development. Occupancy expenses as a percent of company restaurant sales increased by 40 basis points year-over-year to 7.9%, primarily due to 6 new restaurant openings since the second quarter of 2022, including openings on the strip in Las Vegas and New York, which are higher rent markets.
 Other operating expenses as a percentage of company restaurant sales increased 40 basis points year-over-year to 9.3%. General and administrative expenses were approximately $2.5 million or approximately 5.5% of total revenue, including management fees. Adjusted EBITDA was $6.1 million compared to $6.6 million in last year's quarter, including preopening costs of approximately $900,000 this year. The decrease year-over-year was driven by higher preopening costs as we build additional units and incremental public company costs. Without preopening costs, adjusted EBITDA would have been approximately $7 million.
 We're excited about our future. We have a strong brand with great unit economics and quick payback periods. We have substantial growth still ahead of us. And importantly, we are profitable. We have always been profitable for the history of our company, excluding the impact of the pandemic year. Driven by our successful upsized IPO, we are planning to utilize our stronger-than-anticipated cash position to reduce our current debt balances by repaying $10 million of loans with our bank and entering into a new $20 million line of credit, which will allow us increased financial flexibility going forward. We will be left with no debt except for $5 million related to EIDL loans and small amounts related to ancillary equipment. That will leave us with a cash balance in excess of $30 million and $20 million available under our new line of credit.
 Finally, on an ongoing basis, we anticipate providing annual guidance starting in 2024. That said, given that this is our first quarter as a public company, we wanted to provide some thoughts as it relates to the third quarter. Based on our results to date, we would like to provide the following guidance for the third quarter. First, total revenues between $45.5 million and $47.5 million, including no new restaurants this quarter. Those will be opening in the fourth quarter. Adjusted restaurant-level EBITDA margin in the range of 18.5% to 19.5%. And general and administrative expenses of $3 million to $3.5 million as we continue to ramp up our costs as a public company.
 This concludes our prepared remarks. We'd like to thank you again for joining us on the call today, and we are now happy to answer any questions that you may have. Operator, please open the line for questions. 
Operator: Thank you, sir. [Operator Instructions] Our first question comes from Todd Brooks of Benchmark Company. 
Todd Brooks: Congrats on the first quarter. A couple of real estate questions and then one other competitive question. David, on the real estate side, as you're looking at the '24 and '25 pipeline as it's coming together, you talked about an education process for landlords. But now that you're a public company, you're generating really high traffic levels and strong AUVs. Is the balance or the tenure of those relationships with potential landlords changing? And are they starting to approach you with more sites than you having to go out and find sites? 
Wook Kim: That is correct. We're getting a lot more understanding of who we are. They actually go to the website and read about our public offering. So it has been much easier now versus trying to have them understand and have them know who we are. So that is going away a lot and it's becoming much easier to deal with them now. 
Todd Brooks: Okay. Great. My second one is if I look at the -- let's say, the 6 units that have been opened since second quarter last year. Obviously, you've moved into a lot of new markets. Can we talk about how the recent openings in the new markets are performing versus corporate average? And what you've thought of the performance that you've seen so far? 
Thomas Croal: Yes. To begin with, we've been excited about the 6 new restaurants that we've opened. As we said before, we're now in New York, and we're in Florida. We also opened up another restaurant in Cerritos, and in Webster, Texas and in Arizona. All of the restaurants that we've opened are doing nicely, just as we projected. We feel really good about the places that we are. Our starts have been strong. And as you can see from the press release, we added another lease in New York. So we're happy to expand in New York. 
Todd Brooks: Okay. Great. And a final one for me, and I'll jump back in queue. If you look at your competitive set, which is largely local mom-and-pop independent operators, do you have a sense when you evaluate their businesses, how much pricing they've taken versus the only couple of percent that you've taken at dinner and nothing at lunch. I'm just trying to figure out what sort of competitive advantage you're building by being as conservative as you have been on price versus your competitive peers? 
Wook Kim: What we know with our competitors on pricing, they are much higher than we are. We are higher probably by $3 to $7 difference per person, they're higher. In terms of value, we don't see anybody who is right now competing head-to-head with us with the number of proteins we have and the value we have. So that we believe we are way in advance than they are and then price-wise, we are. So that's something that we're very confident that we have good control of. 
Operator: Thank you. The next question comes from George Kelly of ROTH MKM. 
George Kelly: Congrats on the transaction and a nice first quarter out of the gate. So a couple for you. The first one on your recently announced relationship with Cisco. I was just curious if you could give a little more detail on what it is that they'll bring you? And is there a chance that there could be much margin upside as a result? And lastly, on it is just when do you expect the relationship to commence? 
Wook Kim: The relationship is already being commenced. We are telling the Street that it will be by next quarter, but they're building up inventory and the speed is going at what we anticipate to be going. We'll get it done next quarter. Price-wise, it is more competitive than the current U.S. Foods, but we want -- on paper, it is on contract it is, but we'll see how that goes because there are some small -- very small anomalies on how pricings get adjusted. What's most important is the ability for them to provide distribution throughout all 50 states. Other companies state that they can distribute, but it's not what we're finding out. Companies are disjointed. They're distribution centers have disjointed. They have lots of areas that they have to work on, especially post pandemic.
 Cisco, on the other hand, they have invested a lot of infrastructure capital to put their network into a very mainstream platform where that type of information and distribution, which they have much more warehouses across the country, can really help fuel our growth because without a smooth distribution in line, we, as a company, run into issues on our growth. So we are very confident that they are the largest distributor right now today and the amount of money and time they spent in making their operation efficient is something that we're very happy with.
 So we really are looking forward to this relationship because in the past, distribution, time to time would put constraint on us. 
George Kelly: Okay. Understood. So it sounds like it's mostly about efficiency and opening, especially in your development and opening new stores. 
Wook Kim: Correct. 
George Kelly: Okay. Got you. Two other questions for you. So sticking with your input. But if we kind of exclude the changes from Cisco, and just generally -- or looking at commodity pricing, has there been much move recently? Should we expect sort of a continuation of what we saw in 2Q? Or has the situation been improving as far as commodity input pricing? 
Wook Kim: The commodity pricing has subsided and is very stable. So we are not anticipating like we have been experiencing like a year or 2 ago. So we don't anticipate a substantial increase at all for the year 2024 right now. 
George Kelly: Okay. That's great. And then the last one from me. David, you mentioned in your prepared remarks about how the business has performed in recessions. I was curious if you could expand on that. 
Wook Kim: I don't want to say that we are going to face a recession. Obviously, none of us want that, but that is a lot of the talks and discussions that are floating out there. We are a long-term company, we are actually talking 10-year pluses in our management discussions and going forward. But we do always have to anticipate some rainy days here. So our whole idea is we provide value. So in case there is a headwind of recession that we don't anticipate -- that we did not -- we're not ready for. Our brand and our value proposition is ready for that. Because people, consumers will not stop eating, they'll just trade down. And when they trade down, there is no concept that we believe that can provide the guest experience, especially on the amount of protein that we give at the price we offer. So that's what we meant on that prepared statement. 
Operator: The next question comes from Jeremy Hamblin of Craig-Hallum. 
Jeremy Hamblin: I'll add my congratulations on completing the transaction coming public. I wanted to follow up here and tie in to some of the questions around your relative value versus peers as well as the commentary around commodity costs. In terms of -- you've been pretty disciplined to not take a lot of price over the last few years at a time in which most restaurants out there have taken fairly significant price mostly in the kind of 20% plus over a cumulative 3- or 4-year period. Have you -- is that something that you've considered here as you kind of move into the public markets. You made the comments around how it performs in a recession. Any color that you can add in terms of whether or not you might take some price because there certainly is relative value versus peers? And if so, the timing on when that might happen. 
Wook Kim: We're still very committed to our long-term vision of what our brand is. We said this when we were at the road show that consumers, when they are feeling the pain, they remember those hard times. And there's a lot of that out there now that there is pressure of commodity or everybody else raising pricing? Yes. We have modestly raised our price less than 2% in some years. And I think because of that continuous long vision that we have in finding new areas through technology, in new areas of product changes, new areas of getting better labor cost and food cost that without raising prices substantially, we can continuously grow our customer base and not alienate them because now we are even hearing that companies are raising for the sake of raising for no reason just to make a better margin.
 We are really a long-term vision here. We will increase very modestly but not to the extent where we are remembered by our consumers that we took advantage of them. That is not the direction of where we want to go. 
Jeremy Hamblin: Understood. And as a follow-up, can you elaborate on perhaps some of the technology investment or other areas in which you feel like you can more efficiently manage the business? Any specific callouts on projects that you're currently looking at? 
Wook Kim: Yes. We have machineries that are not sold in the U.S., and we are helping those manufacturers overseas, get their U.S. ETL approval to be sold here. And in different ways, we've mentioned that machineries like dishwasher machines that restaurants don't use that we are, that we are able to cut the labor substantially. We have cutting machines that doesn't exist in this country, but we've gotten their [ ETL ] approval, so we started to bring them in, and we're cutting -- saving a lot in those areas.
 There's always ways to continuously find efficiency. Yes, we are very efficient in what we do, but we can continuously find more. And we want to continuously pass that savings to our customers. That is our goal. We don't want to be complacent in what we're doing now. We want to constantly be efficient. So there are other areas and technology-wise, we're testing POS systems where we can have customers pay at their table versus coming to the cashier. There's multiple things that we're working on at this time. And in aggregate, when you put it all together, we should continuously see those savings and we can continuously pass those savings to our guests. 
Jeremy Hamblin: Got it. And then I wanted to also ask a follow-up question here for Tom on the G&A. Thanks for the color on Q3 expectations. But being newly public, I'm sure you're still in the process of building out your finance and reporting teams, compliance teams, et cetera. So that range that you provided for Q3, $3 million to $3.5 million of G&A, how much -- how many quarters do you think kind of the initial build-out of your team, do you think you'll need? And then directionally, where do you think that cost is headed here over the next few quarters? Is that something where you would think a few quarters from now, that could be $4 million to $4.5 million in quarterly G&A expense? Or any color you might pull or share on that would be helpful. 
Thomas Croal: Yes. Thank you. It's a good question. As you said, we're a brand-new public company. Prior to going public, we did build out our team significantly. And so we do have a full, what I'll call, accounting and SEC reporting team with us. Now we're incurring those additional costs for D&O insurance and lawyers and accountants and all the SEC reporting. We've always been very conservative in spending money, and you can tell that from our historical financial statements and we will continue to build out what we need to, to have a complete and properly run public company. That should settle out in the next couple of quarters as we now finally take a breath and start reporting as a public company. We're not looking to add a lot of expense, but we're looking to make sure that we're properly staffed and have the right things in place. And I think by the beginning of next year, we'll be pretty much set. 
Jeremy Hamblin: Got it. And then last one for me, and I'll hop back in the queue. In terms of CapEx spending that you're forecasting here for the total of 2023 and then a sense of what that might look like for 2024. 
Thomas Croal: Well, as we've stated before, for our new restaurants, we're going to be somewhere in the $1.5 million to $2.5 million CapEx cost for our new restaurants. And so you can apply that math. I think on an ongoing basis, our maintenance CapEx is not huge as a company, but we're probably spending in the range of $100,000 a month for our existing restaurants. 
Jeremy Hamblin: Got it. All right, and best wishes on the continued success. 
Thomas Croal: Thank you. 
Operator: Ladies and gentlemen, we have reached the end of today's question-and-answer session. This also concludes today's conference. Thank you for attending, and you may now disconnect your lines. 
Thomas Croal: Thank you all. 
Wook Kim: Thank you.